Operator: Ladies and gentlemen, thank you for standing by. Welcome to the United States Steel Corp. Third Quarter 2010 Earnings Call and Webcast. [Operator Instructions] I would now like to turn our conference over to our host, Mr. Dan Lesnak, Manager of Investor Relations. Please go ahead. _:p id="E04" name="Dan Lesnak" type="E" /> Thanks, Tony. Good afternoon, and thanks for participating in the United States Steel Corp's. Third Quarter 2010 Earnings Conference Call Webcast. We'll start the call with some brief introductory remarks from U.S. Steel Chairman and CEO, John Surma. Next, I'll provide some additional details for the third quarter, and then Gretchen Haggerty, U.S. Steel Executive Vice President and Chief Financial Officer, will comment on the outlook for fourth quarter 2010. Following the prepared remarks, we'll be happy to take your questions. Before we begin, however, I'm going to caution you that today's conference call contains forward-looking statements and that future results may differ materially from statements or projections made on today's call. For your convenience, the forward-looking statements and risk factors that could affect those statements are referenced at the end of our release and are included in our most recent annual report on Form 10-K and updated on our quarterly reports on Form 10-Q in accordance with the Safe Harbor provisions. Now to begin, here is U.S. Steel Chairman and CEO, John Surma.
John Surma: Thanks, Dan. Good afternoon, everyone. Thanks for joining us on what I expect was a busy day for the group. Earlier today, for the third quarter, we reported a net loss of $51 million or $0.35 per diluted share, which included a foreign currency gain that increased net income by $0.96 per diluted share. Our third quarter results also included a loss from a small asset sale that decreased net income by $0.11 per diluted share. Our segment loss from operations was $80 million compared with income of $241 million in the second quarter. Our third quarter segment loss from operations included $86 million of cost, associated with structural inspections and repairs that I'll get into in more detail in a moment. The $321 million decrease in our quarterly segment operating results from the second quarter was primarily due to a $272 million decrease in our Flat-rolled segment and a $44 million decrease in our European segment. For the first nine months of the year, our segment income from operations is $148 million, primarily as a result of a strong performance by our Tubular segment. Our third quarter results for Flat-rolled came in well below our original expectations, due to a combination of increased costs at our Flat-rolled facilities, as well as lower volumes and lower prices. Results for the third quarter also included approximately $30 million of costs related to operating inefficiencies, due to disruptions caused by the structural failure at Gary Works. A bit of background on the structural inspection and repair matter, which was quite significant for the quarter for us. In 2007, we formalized a program to perform inspections and repairs of strategic assets at our major operating locations at specified intervals, spending about $10 million to $20 million per quarter for several years. After the structural failure at Gary Works earlier in July, out of an abundance of caution and in consideration of the safety of our employees and commitments to our customers, we accelerated certain aspects of our structural inspection and repair program at all of our facilities. The costs associated with these activities totaled approximately $80 million in the third quarter to our Flat-rolled segment, as we performed extensive inspections and repair work on the entire Gary Works raw materials transportation system, on similar structures at Great Lakes Works and our numerous other structures at all of our facilities. We're continuing our efforts to accelerate inspections and repairs and expect that the fourth quarter will reflect about $40 million of spending to complete the transportation system projects at Gary and Great Lakes, as well as numerous other small projects at all operating locations. Our average realized prices were $12 per ton lower than the second quarter, as the benefits of higher contract prices were more than offset by a decrease in spot prices throughout the quarter. As was the case with the AISI industry utilization rate, our Flat-rolled raw steel capability utilization rate trended down during the third quarter. We operated at 70% of raw steel capability in the third quarter, down from 82% in the second quarter, and our shipments decreased by 6% to 3.8 million tons. Industry utilization was 69% for the third quarter as reported by AISI, as compared to 75% in the second quarter. Also, our raw materials costs increased more than we anticipated, as our operating configuration for the quarter resulted in the consumption of some higher cost materials that we had acquired earlier in the year to facilitate higher operating levels. Although we are currently faced with difficult market conditions due to the continuing uncertainty over the pace of the economic recovery, we continue to move forward with projects that will better position us over the long term, as the economy recovers and the market returns to traditional levels of steel consumption. As we have discussed previously, some of the more significant projects include a new coke battery at our Clairton works and the installation of two carbonics modules at Gary Works that will provide up to 500,000 tons per year of a carbon alloy coke substitute. Our objective is to increase our coke production capabilities and reduce our exposure to the merchant coke market, which is one of the tightest and most volatile of our raw materials markets. In addition, these projects should improve our energy efficiency and environmental performance, and in the case of carbonics, provide us with the flexibility to better match our coke production with our blast furnace requirements. We also continue to work with our customers to develop the products that they will require as they seek to meet higher safety and environmental standards for the markets they serve. We recently announced the addition of ACRYLUME CF, a new chromium-free coated Flat-rolled product that supports green building and design practices in the construction industry, and we continue to work with our automotive customers to develop the advanced high-strength steels they will need to meet future vehicle safety and emissions standards. Third quarter results for our European segment also decreased from the second quarter, as euro-based transaction prices increased less than we had hoped and were offset by higher raw material costs and lower shipments. Third quarter shipments were negatively affected by the European financial crisis, the summer seasonal slowdown and a mini de-stocking cycle. Our European order book bottomed in July, as many of our customers took their holiday vacations. The market started to rebound in August, as low inventories and customer expectations of rising prices began to affect the market. However, as demand returned, European steel producers brought on additional capacity to meet the anticipated increase in demands and spot prices fell from June levels in July and August. In Europe, we're proceeding with two significant cost reduction projects involving pulverized coal injection. We're adding a third PCI system in Slovakia to allow us to take advantage of current coal grinding capability, to inject coal in all three blast furnaces when fully commissioned in the second quarter of 2011. In Serbia, we're constructing a new facility with unloading, grinding and injection capability for coal injection on both blast furnaces. After commissioning in the fourth quarter of 2011, this project will offset the need for approximately 175,000 metric tons per year of purchased coke. Third quarter Tubular income from operations was $112 million, an increase of $16 million over the second quarter, our fifth consecutive quarterly improvement, as the favorable impact of increased realized prices for both welded and seamless products, more than offset the impact of slightly lower shipments. In our Tubular segment, we continued to pursue projects and initiatives to increase our Tubular capability and product offerings and expand our markets. The construction of a new heat treat and OCTG finishing facility in Lorain, Ohio is underway. This facility is sized and strategically located to address the growing needs of the unconventional shale plays. Major equipment should begin arriving this quarter, and production is scheduled for the third quarter of 2011. In addition to the new facility at Lorain, we've already made various process improvements in our existing facilities that have increased our capability to produce small, outside diameter heat-treated casing by about 20% since 2008. We continue to gain support from end users of our star sealed CDC semi-premium connection in horizontal wells being drilled in the shale plays. Demand for this connection has increased nearly 400% since 2008. We also recently completed three field trials of our new gas-tight premium connection Patriot TC in the Marcellus Shale region. The trials were successful, and the connection is quickly gaining interest from the market. We've continued to build and strengthen our relationships with key end Tubular users. As part of this effort, we have begun construction of a new Tubular innovation and technology center in Houston. This facility will be similar to our automotive center in Detroit. Completion is scheduled for the end of the first quarter 2011. We also recently opened a Tubular sales office in Calgary that will help us to build customer relationships in Canada and develop our business in that important region. Now, I'll turn the call over to Dan for some additional information about the quarterly results. Dan? _:p id="E04" name="Dan Lesnak" type="E" /> Thanks, John. Capital spending totaled $184 million in the third quarter, and we currently estimate that full year capital spending to be approximately $700 million. Depreciation, completion and amortization totaled $153 million in the quarter and we currently expect to be approximately $650 million for the year. Pension and other benefits cost for the third quarter totaled $106 million, and cash payments for pension and other benefits were $127 million in the quarter. For the full year, we expect our pension and other benefits cost to be roughly $425 million, and we expect cash for pension and other benefits to be approximately $690 million, which includes the $140 million volunteered contribution we made to our main defined benefit pension plan in the first quarter. Net interest and other financial costs were $78 million favorable for the quarter, and included a foreign currency gain of $135 million. Excluding foreign currency effects, interest expense for the third quarter was $58 million, and we expect it to remain at that level in the fourth quarter. Our third quarter 2010 effective tax rate of 15% included a $29 million favorable catch-up adjustment, as a result of a decrease in our estimated annual effective tax rate. Now Gretchen will review some additional information and the outlook for the fourth quarter.
Gretchen Haggerty: Thanks, Dan. Our cash balance decreased by $575 million in the first nine months of this year, primarily due to a $728 million increase in working capital, as market conditions and order levels improved from the historic lows in 2009 and with significantly replenished raw material and steel inventory levels, consistent with prior operating earnings. During the third quarter, we took several actions to enhance our liquidity position. We increased the size of our accounts receivable facility from $500 million to $525 million, and extended the term until July of 2013. We entered into a new EUR 200 million three-year revolving credit facility at U.S. Steel Košice, replacing a similar facility that would have expired in 2011, and we entered into a new EUR 20 million revolving credit facility at U.S. Steel Serbia that expires in August of 2011, replacing a $40 million euro facility that expired in August of this year. Our liquidity remains strong as we ended the quarter with $643 million of cash and total liquidity of approximately $2.2 billion. Now turning to our outlook, our current order entry rate reflect the uncertain economic situation in North America and Europe, despite customers reducing inventory levels in light of short lead times, while our contractual customer's order rates are consistent with traditional downturn taken late in the fourth quarter. Fourth quarter results for Flat-roll are expected to be in line with the third quarter, as reduced spending for facility, repair and maintenance, including structural inspections and repairs in the absence of operating inefficiency resulting from the structural failure at Gary Works, will be offset by decreased average realized prices, as a result of lower spot market and index-based contract prices, and lower shipments and production volume. So currently we are continuing our efforts to accelerate inspections and repairs, and expect that the fourth quarter will reflect about $40 million of spending, as much of the significant repair work was completed in the third quarter. As John mentioned, we still have some work to finish on the transportation system at Gary in Great Lakes, in addition to numerous projects at all our locations. We expect to operate at an overall lower raw steel capability utilization rate than in the third quarter, as our Hamilton Works blast furnace was idled in October in response to reduced order rates in Canada and the United States, and as we've completed some scheduled maintenance work at other facilities in October. We will adjust our blast furnace configuration to coincide with order rates. While the labor agreement covering our Hamilton Works operations has expired and we’ve not reached a successor agreement, we continue to operate the coke battery, cold mill, and one galvanizing line at Hamilton. We expect fourth quarter results for U.S. Steel Europe to be comparable to the third quarter, as lower raw material cost and reduced spending on facility repair and maintenance are offset by lower shipments. We expect lower euro-based transaction prices in the fourth quarter. However, the overall euro-based average price is expected to be higher than the third quarter, as a result of a higher mix of value-added contract shipments. We expect raw steel capability utilization rates to be lower than the third quarter as we idled a blast furnace at U. S. Steel Serbia in response to reduced order rates, and again, we will continue to adjust our blast furnace configuration in U.S. Steel Europe, in line with customer order rates. We expect our Tubular segment to remain profitable in the fourth quarter, but we do expect lower results as compared to the third quarter. Industry inventory levels are near the high-end of the normal range. Our program customers and distributors are actively controlling their inventory levels going into the year end, and imports, particularly from South Korea, have increased in recent months. As a result, we expect lower shipments and average realized prices, partially offset by lower cost for steel substrate. That's the outlook. Dan? _:p id="E04" name="Dan Lesnak" type="E" /> Thank you, Gretchen. Tony, can you please open the line for questions?
Operator: [Operator Instructions] Our first question comes from the line of Luke Folta with Longbow Research.
Luke Folta: First, I just wanted to ask if you could give us some color on what you're seeing as far as met coal contracts next year?
John Surma: Sure. We're really just into the discussions with our major suppliers now, Luke, and we really hate to get into a commercial negotiation in this context. So it's probably best that we not do that. We're aware of what's going on in the market. You are too, but we're just in those conversations right now, and we'll have a better picture of that in January when we're together. And we'll give you, as we always do, whatever we know at that point. So I think we said before, we do have some carryover volumes that move well into 2011 and '12, and we're just working with our suppliers now on how to arrive at a price on that. Some of those have structures that give us a price, others have negotiations, and we're in the discussion right now. So just not right for us to get into that discussion in this context. So please forgive us.
Luke Folta: As far as your European business, can you give us a feel for what the raw material costs -- what the costs you're paying are for ore and met coal are in the quarter, and maybe how that will change in the fourth quarter?
John Surma: Sure, I can give you a couple of guesses I think. There haven't been big changes from third to fourth, and there's been quite a lot of volatility in the last two years. But from third quarter 2010 to fourth quarter, I would say on the metallic side altogether, pellets and sinter fines and lump ore I think were relatively flat, then pellet prices are in the $120 range, probably somewhere in that zone. And on the coal side, also relatively stable from third to fourth. And we're pretty well north of $200 there on met coal, and we are buying some purchased coke. That's of lesser consequence, but that's in the $400 range. And relatively stable third to fourth.
Luke Folta: Just in regards to your outlook for Tubular for 2011, I think you guys do most of your sales through distributors that you have those program arrangements set up. Can you give us a sense of what your visibility is in 2011 at this point and what you're seeing so far?
John Surma: Sure. The visibility, I think Gretchen commented on what we could look into the fourth quarter and see. I don't know that we have any particularly good visibility into the 2011 timeframe yet, the drilling budgets and capital budgets are being developed. I think we have some expectations, maybe aspirations that, particularly on the liquid side, that would remain a healthy consumption area that's going well right now. The economics are certainly very supportive of it. On the gas side, I think there is pretty good trends in gas consumption, we would hope, and maybe that would continue to stabilize and support good gas drilling, but I think if there's room to move in the opposite direction, it might be gas, just because the price level hasn't been as supportive, but we don't really have much knowledge or insight into anything in 2011 so far.
Operator: The next line is Michelle Applebaum with Michelle Applebaum Consulting.
Michelle Applebaum - Michelle Applebaum Research: It makes me wonder looking at all these results in the outlook and what's going on in the market in terms of thinking about the long term. We've already had more than two years of this market, and the only thing that's really consistent is volatility, unpredictability. And you have a business model that, the industry does, it doesn't do well with that. When do we start thinking about what do you do different, what can you do different to minimize some of the damage? I mean you guys are doing a great job fixing the economy, but what can be done? But you can't do a lot about that. What can you do with the company to help the business model?
John Surma: That's a good question, Michelle. If we had any real magic solution, we'd be out working on it right now rather than talking to all of you. No offense intended of course. But no, what I think what we have to do is the only thing we can do, is just try to keep our cost under control, and find a way to get more a variable and less of a fix. Then that's been a Holy Grail for us for a long time, and we make a little bit of progress incrementally, but not that's going to change the business model right now. I think we have to take a pretty sober and hard look at what the long-term demand trends are. We take that look, and we still believe that long term demand trends for U.S. Steel consumption, ultimately probably return to something like normal. And if they don't, it implies a big step-down in standard living. And I don't know if the American people have signed up for that just yet. So our view would be still on a longer-term optimism on North America and the U.S. in particular, from an economic standpoint. And if the economics get lined out right in North America and the U.S., then I think steel consumption should move back to where it traditionally has been over 20, 30, 40, 50 years. And in that world, we can do just fine. If the overall consumption rates settle out someplace lower, then I think we would have to look exclusively at our configuration to see if we're configured right for the world we're in. But it's a little bit too soon yet, even though it's been a long slog of two years, as you pointed out. A little bit too soon for us to make that judgment just yet.
Michelle Applebaum - Michelle Applebaum Research: So we're all talking about the Thyssen plant in the startup, and I'm just wondering what your thoughts are in terms of how contracts roll off in the next year, and everyone's focused on new tons coming into the spot market, but you’ve got contracts rolling off every now and again on your high value-added mix, and a new competitor bidding those out. And then I'm just wondering, do you think there is a chance we could see declining prices in these longer term, in the appliance, automotive kind of products?
John Surma: Well, we’ve had price increases and price declines both over long periods of time, so I'm sure there will be periods of both, unfortunately. But there has been so much said about that particular subject by others that I don't think we have anything original to add, quite frankly. I'm sure there'll be a formal competitor. And when the industry is operating, last time I heard, at less than 70% utilization, having additional volume into the market is not going to be a positive thing from our standpoint. But we're going to compete as best we can, we'll do it on service and on value. And if we do a good job of taking care of our customers, as I think we have, we'll be able to keep our customers and maybe attract new ones as we have. So I wish I had some glib interesting comment on that. There's a few that I'm tempted to give you, but I won't, then there's really nothing we can add. It's going to take a while for that to play out, and what has been seen so far I think is less than has been talked about.
Operator: Our next question comes from the line of Timna Tanners with UBS.
Timna Tanners: I wanted to ask the comment Gretchen made about aligning your configuration with demand, I think it's an important one. Can you give us a rundown of kind of what's on idle right now? We know Hamilton is the latest, but what preparation you're making for kind of the quiet period of the year and how you're configured?
John Surma: In the earnings release, it might have been too subtle, but the Hamilton blast furnace and steel shop are idled temporarily. Coke plant running well, I might add, as well as the cold mill and one of the galvanizing lines. We have had some scheduled outage time already this quarter in both the Mon Valley Works here and one of the Granite City furnaces. So we already have had some downtime to new scheduled outages so far this quarter. We don't really have any specific plans right now to take anything else down, that really depends on how the order book comes in. If it turns out that the order book doesn't support our current configuration, then we'll have to do that. Keep in mind, Timna, though, that we can flex our overall production of our existing furnaces by some degree, without taking a furnace all the way off. So we may take periodic stops, we don't keep the wind on the whole time, we don't push the furnaces the way we can. So we can flex over some reasonable degree without having to have a complete furnace outage. So we don't really have anything to say on that, except if you look back at our record, our record is when there aren't enough orders, we don't make the iron. And if we have to take the furnace off to do that, if that's the most economical way, we'll do that. But we don't really have any decisions to tell you about today.
Timna Tanners: My other question is about your annual contracts. Obviously, not something I'm sure, you're going to want to talk about with detail, like your met coal. But conceptually speaking, given that you have much of your own iron ore locked in, how prepared are you to negotiate annual contracts at more fixed prices, maybe take some market share from some of your competitors that are facing more volatility on the cost side?
John Surma: We have been willing to engage in firm contract pricing for some time, whether it's six months or a year, not a whole lot beyond that. Because we feel like we've got decent visibility on our key cost components. But it's got to be the right contract, the right customer, the right volume, the right terms and the right price. So we're willing do that, but it's got to be things that we can both agree on. Whether that gives us an advantage over someone else, who might be trying to find that business, we'll let the customer decide that. But if it does, that's great. If it doesn't, we'll still compete anyway. So we're prepared to do that and have, we're just in that sort of season right now of having those discussions, so I think you're correct, we don't want to give many details about it. But I'd just point out that if you look at the current spot price structures, which you can see in Owen, CRU or MEPS [ph] or whatever, your like steel benchmark, if you look at that and look where we were a year ago, we're actually above there. So the market, even though it didn't feel very good today, is actually better than it was. So we think we're in a decent position to have a good discussion, and we think our record of serving our customers very well is going to stand us some pretty good stead.
Operator: Next question comes from the line of Mark Liinamaa with Morgan Stanley.
Mark Liinamaa - Morgan Stanley: Historically, I thought in terms of the Flat-rolled business, kind of being in a position where it could make some money in the mid-60% operating rate, level. Is that still a fair assumption? And could you maybe help reconcile in addition to the Gary and some of the special things, what made that different this quarter?
John Surma: We've looked at that market, that's a good question, we've looked at it over a variety of scenarios over the years, because I wonder the same thing. I think one thing that has affected us is if you look back at where we might have been three or four or five years ago, the cost of coal, and carbon coke for us and coal, has changed so dramatically that it's really changed the cost structure in a big way, and the price structures haven't always accommodated that much of a change. And I think that's made the breakeven analysis maybe a little bit different for us than it was before, particularly as we've been buying more purchased coke because our coke infrastructure needs some replacement work. As you know, we're working on that, I referred to it in my comments. So it makes it more difficult for us at those levels, because we need to have a more stable carbon and coke supply, and the cost of that has been much, much higher. So I think that's one thing that's negative. The other thing is that the overall -- at this level, the overall industry utilization rates, when we had low utilization before, it's because we weren't in a position to produce, but the overall market was in a relatively good balance. Here, we're in a position where everybody's in sort of the same relatively lousy position. So I think, us was making money at 65% when the overall market utilization is at 85% is one thing. When the overall market's at 69%, and we're at 69%, it's much more difficult and I think a much different story.
Mark Liinamaa - Morgan Stanley: And roughly, to the extent you'd be willing to comment, what is -- can you say what your operating rate is today?
John Surma: Well, I can but it wouldn’t be -- I can't actually today -- but it wouldn't be very meaningful. I think we're just in the process of bringing up the two furnaces that I had mentioned that were off for regularly scheduled maintenance. They were a couple of weeks each. One here in the Pittsburgh area, one at Granite City. So with those down, we were probably running below the AISI number. Although it's coming back up, we should be half, or generally above, we've been running slightly above the AISI number for most of the year, 5%, 7%, something like that. So we were probably below, it was more periodical just because we had a couple of furnaces down. When they're back up, we ought to be back at about where AISI is, maybe a little bit higher than that.
Operator: Our next question comes from the line of Brian Yu with Citigroup.
Brian Yu - Citigroup Inc: John, earlier, there was a question about your contract position for met coal. I was wondering if you have any tons that you're going to take receipt off in 2011 that were priced either this year or the prior year?
John Surma: There wasn't much, Brian, that rolled over -- or it wasn’t a rollover, some were longer-term deals that we had with volumes that stretched out over periods of time. There wasn't much that went into the future with a firm price. Some had a firm price, but not very much, well less than 1 million tons probably. Some had reference prices and indexes, so there was fairly little that had a firm, or particularly a firm older lower price, we wish there was more of course. So that's not going to help us much.
Brian Yu - Citigroup Inc: And can you give me a sense of what the general mix is in terms of the various types of met coal that you would buy in a typical year, high coking, high volume?
John Surma: We're pretty much across-the-board. I don't have those percentages to hand our normal coke blend. I mean I hope Dan can find it out and let you know. But we run lots of different batteries, lots of different blends, and we're buying low, mid and high. So I don't have the exact blends and the exact totals in front of me. Dan can find that out and let you know.
Operator: Your next question comes from the line of Sal Tharani with Goldman Sacks.
Sal Tharani - Goldman Sachs Group Inc.: Two questions. First on pension. Gretchen, you have been doing voluntary payments for quite some time in the good days, and then, including this year. And it is no secret that discount rates are going to be lower, but in GAAP, it will be higher. Do you think there'll be a significant payment needed next year?
Gretchen Haggerty: Are you talking about on pension payments, Sal?
Sal Tharani - Goldman Sachs Group Inc.: Yes, pension payment, not the one in the P&L impact, but just the payment to MECA for the gap, which will be widened because of the lower discount rate next year.
Gretchen Haggerty: Well, we actually have pretty good credit balance right now, but I think you’re right, with discount rates being lower and the performance of the market over the last couple years, pressure on having a higher payment's probably there. We've been making $140 million, and that is voluntary payment, because we don't really have to make it, we’ve been making it voluntarily. But we would probably be in a position to making a somewhat higher payment than that, but we're not into the substantial mandatory payments. I mean I could see us drifting up more towards $200 million at some point, but that might be the range in the near-term.
Sal Tharani - Goldman Sachs Group Inc.: About $200 million in 2011?
Gretchen Haggerty: Yes, we haven't determined what it's going to be yet, Sal, it's dependent on where rates end at the end of the year, but I can see it in that range, $140 million to $200 million.
Sal Tharani - Goldman Sachs Group Inc.: And John, on OCTG, you were involved in that case, or you're a party to the case, I guess the Chinese imports, and that has obviously been settled. But imports have increased from other countries. You mentioned South Korea, and we can see from the numbers published by the Commerce Department. Is there any chance or is there any movement right now to put a stopper on that also by the OCTG industry in the U.S. in terms of putting a counteracting, contributing claim on South Korean imports?
John Surma: That's a good question. We don't really comment on that until we do it, and we usually don't. Our record would say we usually don't take those actions unless we know we're going to be successful with a high degree of probability. The fact that we observed that in our release might suggest that we're keeping an eye on it, we are. And if we believe that there is behavior that's outside the bounds of our nation's trades laws, then we know what to do, we know how to do it. So nothing to report specifically yet. But my sense is if we do, you would be among the first to know.
Operator: Our next question comes from the light line of Mark Parr with KeyBanc Capital Markets.
Mark Parr - KeyBanc Capital Markets Inc.: I had two questions. First, and John, you went through this, all the detail of the cost and the inspections and the repairs going on in the domestic Flat-rolled business. I was just wondering is there any way you could give us some, a little more quantifiable color on the magnitude of cost reduction, or call it profitability enhancement you expect from the 2010 initiatives in 2011 with domestic Flat-rolled?
John Surma: I don't really have anything quantitative, Mark, I guess, that I could give you, but just let me make an observation for you, maybe two things. If you look at the lump of spending we had here in the third quarter, and then a little bit elevated level in the fourth quarter, we were planning on higher spending to begin with, because we have a number of these projects planned, but the one was about a week late. We were planning on working on a section, it failed about a week later. But of the larger amount of cost this year, or this quarter or next quarter, probably some perhaps we should've done before. We just weren't as ready to get the projects done, or we didn't get the inspections done at the right time. That's possible. Some we have scheduled, and some undoubtedly is pulling ahead spending we would've done later. So to the extent we're pulling something ahead and we'll need to do it, we won't need to work on these two high lines, the two biggest structures at Gary and Great Lakes for, I would think, some time. Because effectively, we've replaced the entirety of the structures. And in the case of the Gary structure, it's 5,000 feet long, it's about a mile, it's like a superhighway with cloverleafs at either end. I walked the entirety of it just a couple of weeks ago, it's four tracks across. It's a big structure. And we take plates off, we do very detailed inspections, we've replaced, we've weld, we cut. It's a lot of work, and that's the reason it costs so much. But once we're done, it should be in pretty good shape for quite a long time. So I think we ought to not need to do as much repair work, but we're going to probably keep inspection work up at a fairly high level, to ensure that we catch things sooner, which means we can fix them more easily. It seems like a simple response. So I'm not sure how much more profitable it will be, but we should be able to avoid some expense in the future, as a result of some of that.
Mark Parr - KeyBanc Capital Markets Inc.: I was wondering if you could talk about your Taconite position over the next six to nine months in terms of whether you're going to be about in-balance or maybe a bit supply-short, or a bit supply-long. I'd just like to get some color on that.
John Surma: Sure. It depends a lot, of course, on how much we have to use, Mark. So if we knew that, it would be easy, but I'm assuming we're running at a decent level. We're pretty well in balance. Our two equity facilities are running well, nearly full, and two the joint venture equity lines are running fine as well, as far as I know. We have some contractual arrangements where we get some material through things that are dated and will run off at some point, but at decent prices. So we should have plenty of material. For us, it's not just having it, it's getting in the right place at the right time. Some of our plants, it's not effective to rail to, so they have to go on waters. So we’ve got to get material in there, and that usually leads to a bit of an inventory build in the fourth quarter, as we're getting material in position for the winter months. So I think we're going to be pretty well in balance if by some good circumstance we were running at 95% utilization. We might have to hustle a little bit, but I think we'd probably be pretty well covered for any reasonable level of operations, 85% plus or minus.
Mark Parr - KeyBanc Capital Markets Inc.: If you had to lock out Hamilton, what would be the potential idle cost up there in the Canadian operations?
John Surma: I don't know that number, Mark, off the top of my head. But thinking back to last year and we are working through those things, the Lake Erie Works, if I got the number right, was $60 million in a quarter, something like that. Does that sound right, Gretchen or Dan? It might be something less than that, but I don't remember exactly. It would be less than the first early time, and maybe it would eventually work it down to some lower number, but it would be in that zone. But we're not saying that's the case or we're doing that, but it would be less, I would guess, than the Lake Erie number was.
Operator: Next question comes from the line of Brett Levy with Jeffries & Company.
Brett Levy - Jefferies & Company: As you look forward -- I mean you can break this down between sort of the seamless and the OCTG. As you look forward to 2011, especially in the context of natural gas in the low threes now, what do you see as the level of pipeline and gathering system activity looking into 2011? Because these things tend to be planned, at least on a somewhat intermediate term basis.
John Surma: I'd say there's been decent activity level on pipeline projects in sort of new areas like the Marcellus here, where there isn't a lot of gathering infrastructure. There hasn't been as much. There's some, but as areas are being developed, and wells are being drilled, they're not necessarily always being completed right now because of the price position. Some are being drilled and completed and not finished with tubing and not hooked up together. And so the larger pipeline replacements, new pipelines. That business is coming back a bit, there's more credit available for projects, so we're doing better there. The actual sort of well-by-well gathering infrastructure in the developing shale plays, because of the gas situation, gas price situation, I'm not sure it's a terribly optimistic picture, but it should be okay. But I don't know that we have any particularly good visibility into 2011 yet, but the pipeline project activity that we get quotes on, or that we get quotes on for Flat-rolled and supply other people who do it, that has been okay. I guess I'd say okay, but not great, just okay.
Brett Levy - Jefferies & Company: Up or down versus '10?
John Surma: I'd guess flat, I don't know they'd be terribly different than '10, but I'm giving you a real guess there, but I don't have a lot of good data points in 2011 yet, it's just too soon. And because of the volatility, I'm sort of reluctant to make predictions.
Operator: Next question comes from the line of John Tumazos, Very Independent.
John Tumazos - Independent Research: Your comments on premium couplings and other, I guess accessories is the right word, are very interesting. Back 30 years ago, they're used to be a division of U.S. Steel called Oilwell that made land rigs and distributed crude.
John Surma: We remember it well, and we wish we still had it.
John Tumazos - Independent Research: 40% EBIT margins when times were good. It would be wonderful to develop a few product lines and I guess it -- was it National Oilwell that bought Hydro? But could you talk a little bit about the accessories to tubes and extra services, and the potential to make that ass-kicking good business?
John Surma: That's a very technical term, John. But we know what you mean, we like that. I think it's a pretty good business now, we can wistfully think about how the world might be different if we had hung on to Oilwell division many years ago. It's now a constituent piece of National Oilwell Varco, if I remember right, V is a perfect company, that we have some knowledge of. It was a great business then, I wish we still had it. Our foray is to move initially into the connections of where that is because our customers told us that's what they needed, and having the complete package of the connection and the couplings, which we make, by the way, because we have a coupling manufacture, it's quite convenient, that has been a big story for us and a big reason for our strong performance financially and from a volume standpoint. Our customers are also telling us they need some wellhead services and field service engineering skills. We're developing our organization, providing those services now, and that's in an early stage but we're getting better at that as well. We had other aspirations around lubricants and other things that it would be relevant for our application of pipe. We're all sort of sticking with things that are pretty close to the pipe right now, but we have those kinds of aspirations, have three or four derivatives of the things I just described to you. And I'd say, John, just sit still and hang on, and you'll see more of it as time proceeds. The patriot connection, which is our first developed premium connection, we think is a really important step for us, and we hope to be able to talk about it more as time goes on. Stay tuned.
Operator: And our last question comes from the line of Charles Bradford with Affiliated Research Group.
Charles Bradford - Bradford Research: Been a lot of talk about ThyssenKrupp pretty obviously. But on the Tubular side, there's a new capacity being built also, boomerang comes to mind, there's a Chinese venture. Are you seeing any impact of that in the market?
John Surma: I wouldn't say significant impact yet, Chuck, but I'd make the same comment there. You're right, by the way, that goes for all things worth watching, and we're watching them very carefully. I think when you're in a market with a big position like we are, having additional capacity is not necessarily something we admire, but there's nothing we can do about it, except compete as effectively as we can. I think we have a lot more to offer our customers than any of those folks do. I think we have the certainty of having 20 million tons of steel behind our pipe mills, and our customers in a tight market don't have to worry if they're working with us. If they're not working with us, they have a lot to worry about, and we make that point to them all the time. We have metallurgical capability because of our melt that nobody else has, that we do things metallurgically that no one else can do, with the kind of melt source that they're going to have. So we think we have a lot of advantages. But on the lower end carbon casing, it's going to be a competitive market. It already is, and I think that will make it probably more competitive, and that might all be bearable. But if imports continue to edge up toward -- I think the last market share I saw was 46%. That is a very disconcerting matter, those two things coming at one time. So we're watching them both, the one we're going to compete against as hard as we can. The other one will make sure the competition is fair.
Charles Bradford - Bradford Research: I think three years ago, when you bought Stelco, you made a number of commitments to the Canadian government. I believe they all expire on Sunday. Is that true?
John Surma: I think that may be the case. Yes, it was a three-year thing, and I think they're called undertakings technically, and I think that's correct. We still have what I'll graciously call a difference of opinion about how they should be applied, that's still monitored in a court proceeding, but the undertakings themselves, all of which, and there were some number 30, 40, some number like that, we have complied with and fully discharged, but for two, that we were affected by the great recession. So I think you're correct.
Charles Bradford - Bradford Research: But they do expire? That's what I wanted to know.
John Surma: Yes.
Operator: You have a follow-up question and last question from Michelle Applebaum.
Michelle Applebaum - Michelle Applebaum Research: How come your call is ending at 2:47 in the afternoon? It hasn't happened in a long time. I guess that's probably a bottom in the stock?
John Surma: I think you guys had a lot of work today and a lot of calls, and you're probably worn out. We appreciate your loyalty by still being on.
Michelle Applebaum - Michelle Applebaum Research: You have 30 years of loyalty, I’ve got to have my head examined, don't you think? And I was going to tell you, "Hey, before you reign all over Oilwell National, guess whose idea that was? Okay? And you guys were pretty happy about that at the time, if I recall. So are there going to be any more trade cases?
John Surma: Well, that depends on if there's any more unfair trade. If there's more unfair trade, we'll probably have trade cases. If there isn't, we won't.
Michelle Applebaum - Michelle Applebaum Research: If unfair trade is, material comes in from countries with higher costs that are selling below their cost, which since nobody's making money, everybody must be, then wouldn't you argue that a big chunk of what's coming in is unfair? I mean what's it doing coming in if we're lower cost, and everyone's losing money?
John Surma: That's a pretty fair definition of it, Michelle, for just between us. I think we watch those things carefully, as you know, and we have not been reluctant to make sure our rights are appropriately discharged when we think we have a case, but we're not much for filing cases for the sake of filing cases. We file cases to win, and our records are pretty good, and we don't file a case unless we think for sure almost we can win.
Michelle Applebaum - Michelle Applebaum Research: Well, you know that I learned this business working for a trading company, and so I know how it's done, and I’ve got to tell you, I couldn't imagine you not winning any case you might file right now. But I hear you, it doesn't sound like you've got anything in the hopper, right?
John Surma: No, I didn't say that Michelle. We're watching things very carefully. We always do.
Operator: We have a follow-up question with Mark Parr from KeyBanc Capital Markets.
Mark Parr - KeyBanc Capital Markets Inc.: One thing I noticed looking at the global raw materials situation on ferrous metallics. Iron ore is priced significantly above where it was in '08. If you look at some of the recent spot offerings out of India into China or even the north coast of Australia FOB. And if you look at shredded scrap, which is our primary exported ferrous material for this country to go into the Asian marketplace or into South America, wherever, scrap prices are actually 40%, 50% less than they were in '08. And John, I just wonder if you have any thoughts or any color you might be able to provide that would help to reconcile what appears to be a tremendous divergence on the raw material situation?
John Surma: Yes, it's an interesting conundrum, Mark. I don't have any particularly good revelations except that the amount of new pig iron capacity has been brought on around the world, still is coming at a pretty good pace, particularly in the Asian countries. And EAF capacity has lagged behind, and I think that's the answer until EAF capacity gets further expanded, and not necessarily in the North America or even in the Americas period. But there are a lot of projects announced back in '07, '08 and '09 -- maybe ’07, ’08 anyway, in the Middle East and North Africa, in places like Russia and other places in the CIS countries that were going to be electric furnace scrap-based. And I was thinking that would really tighten up the world-trade market and pull a lot more out of the U.S. market. I'm an amateur, we’re amateurs compared to others that are in the scrap business, both buying and selling in this country. But I think as long as the overall EAF relationship is more or less in-balance and our scrap generation is pretty strong, and the fact that maybe U.S. scrap consumption hasn't been as strong, it's because of lower operating rates across-the-board, then that relationship has tended to diverge. It probably won't come back until that balance gets a little bit back in focus. That's sort of barnyard logic. I'm not an expert there and wouldn't pretend to be.
Operator: Thank you. There are no questions at this time. Please continue. _:p id="E04" name="Dan Lesnak" type="E" /> That's all we have for today. We appreciate everybody being on with us, and we'll talk to you again in January.
John Surma: Thanks, everyone.
Operator: Ladies and gentlemen, this conference will be available for replay after 4:30 p.m. Eastern today until November 2, 2010, at midnight. You may access the AT&T executive playback service at any time by dialing 1-320-365-3844 and entering the access code of 173070. That does conclude our conference for today. Thank you for your participation and for using AT&T executive teleconference. You may now disconnect.